Operator: Ladies and gentlemen, thank you for standing-by and welcome to the Fourth 2019 DCP Midstream Earnings Conference Call. [Operator Instructions] After the speakers presentation there will a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today Sarah Sandberg, Senior Director of Investor Relations. Thank you, please go ahead ma'am.
Sarah Sandberg: Thanks Katherine. Good morning and welcome to the DCP Midstream fourth quarter 2019 earnings call. Today's call is being webcast and I encourage those listening on the phone to view the supporting slides which are available on our website at dcpmidstream.com. Before we begin, I'd like to point out that our discussion today includes forward-looking statements. Actual results may differ due to certain risk factors that are affect our business. Please review the second slide in a deck that describes our use of forward looking statements. And for a complete listing of the risk factors, please refer to the partnership's latest SEC filings. We will also use various non-GAAP measures, which are reconciled to the nearest GAAP measure and scheduled in the appendix section of the slides. Wouter van Kempen, CEO; and Sean O'Brien, CFO will be our speakers today. And after their remarks, we will take your questions. With that, I'll turn the call over to Wouter.
Wouter van Kempen: Thank you, Sarah. Good morning everyone. Appreciate you joining us for today's call. As we ended 2019, we made committed to all of our stakeholders and we are excited to discuss our strategic execution on these goals and our outlook for 2020, so looking to our full year results. We delivered DCF above the midpoint of our 2019 guidance range driven by our focus and financial discipline and operational excellence, our increasing fee-based cash loss and our DCP 2.0 transformation. 2019 has been a pivotal year for DCP. We eliminated our IDRs with fair terms, ensuring complete stakeholder alignment with a minimal impact to our financial metrics. We utilized our excess coverage and almost 210 million of non-core asset sales to sell fund, approximately 40% of our 2019 growth capital. We delivered on our commitment to reduce cost year-over-year despite increased charges from our voluntary separation program, new growth and continued focus on DCP 2.0. And we did all this, while maintaining best-in-class safety metrics resulting in our second lowest total recordable injury rate in the history of this company. We sold record volumes and results from a logistics and marketing segment driven by record, Sand Hills, Guadalupe and saw the Southern Hills earnings coupled with strong NGL marketing margins. In fact, our logistics and marketing segment across the threshold to generate more than half of our earnings in 2019 representing a significant shift in our transition to a fully integrated midstream service provider. On the GMP side, overall volumes increased from 2018 and our O'Connor 2 bypass is home line into DJ Basin bringing our total available capacity to 1.4 BCF per day to better serve our customers. The O'Connor 2 facility is underpinned by minimum volume and margin commitments which helped to increase our 2019 fee-based margin to 65%. When combined with our strategic hedging program, our 2019 fee-based and hedge cash flow was nearly 80%, reducing volatility around our business and balance sheet. These fee-based cash flows were bolstered by the Gulf Coast Express pipeline in the fourth quarter and we expect to see earnings from Southern Hills expansion into the DJ Basin in 2020. Finally, our DCP 2.0 transformation continues to optimize our margins and drive costs down. In addition to our portfolio wide real-time optimization efforts in the Integrated Collaboration Center or ICC, we now remotely operate 20 of our facilities from our Denver offices. These facilities are being remotely operated and optimized by highly skilled people to increase efficiencies and standardize our operations in a way that is unique to DCP across the midstream industry. Building on past successes, the powerful combination of our ICC and remote operations resulted at over [13 million] [ph] of new margin uplift alone exemplifying DCP 2.0s ability to drive incremental improvements year-over-year. We also saw improved efficiencies and productivity from digitization across the organization coupled with other efforts, it's almost 15% reduction in headcount all while our asset base expanded and our safety outcomes remained best in class. In all, our team continues to deliver on our operational, financial and structural commitments to drive our company forward and increase unit holder value. Looking to our 2019 financial execution on Slide 5, we delivered solid results in 2019, our adjusted EBITDA increased 10% year-over-year and totaled $1.2 billion. Our DCF of 762 million landed above the midpoint of our guidance range and represented an 11% increase from 2018. And before we discuss our sustaining capital number, I want to note that while historically we have referred to this as maintenance capital, we believe that the term sustaining capital more accurately describes the dollar amount needed to maintain cash flows from existing assets. The metric will continue to be calculated in exactly the same way and we will now use this term sustaining capital moving forward. In 2019, as a result of divestitures and a growing logistic asset base which requires less sustaining capital, we spend $83 million just below our 2019 guidance range. On the growth capital side, this includes all capital projects that increased volumes beyond existing base levels and that includes well-connected to new incremental volumes and large capital projects. In 2019, our growth capital exceeded the high-end of our guidance range due to our opportunity to increase our ownership option and share and connect our project timing and cost increases on some projects. We are committed to being responsible stewards of capital and these projects remain in our target 5x to 7x EBITDA multiple range. Additionally, Sean will cover within the next few slides, we are guiding to 30% reduction in growth capital year-over-year. So I'll turn it over to Sean to walk you through the details over a year, the fourth quarter and our 2020 guidance.
Sean O'Brien: Thanks Wouter and good morning. On Slide 6, you'll find our 2019 financial results versus 2018 at business highlights from the fourth quarter. In 2019, we delivered strong financial results, growing DCF by 11% while overcoming a year-over-year commodity price decline of 108 million. We generated 156 million increase in our logistics and marketing margins. We're optimizing and growing our Sand and Southern Hills earnings, capturing favorable pricing spreads within our Guadalupe pipeline asset and adding new cash flows from our Gulf Coast Express asset. Our G&P margins were also favorable the last year growing by 38 million driven by a record year for our DJ basin assets and solid volume growth from the Delaware basin. We delivered on our commitment to driving our cost trend lower more than offsetting increases associated with new asset growth, inflation and investments in our DCP 2.0 transformation. We're excited to announce that 2019 costs were down $22 million from 2018 and we're committed to continuing that trend in 2020 with a goal to lower cost by similar step down. Now, turning to a few fourth quarter highlights. First, we placed the O'Connor 2 bypass into service bringing total DJ basin capacity to 1.4 BCF per day. Additionally, the Southern Hills extension via White Cliffs came online providing additional NGL take away from the DJ basin. With a solid 2020, DJ volume outlook from our producers, we are already seeing good volume growth on Southern Hills in the first quarter with continued volume ramp up expected throughout the year. Due to permitting delays that we have remedied, the front range pipeline in Texas express expansions are now expected to be placed into service in the first half of 2020. And finally, we executed an additional 54 million of dispositions in Q4 bringing our total 2019 proceeds from non-core asset sales to approximately 210 million. Now moving to Slide 8¸ I want to highlight some details of our 2020 guidance. Our 2020 adjusted EBIT range is 1.205 billion to 1.34 5 billion and our DCF range is 730 million to 830 million translating to a distribution coverage target of 1.2x or better. Our guidance ranges are inclusive of the 2019 IDR elimination transaction and that results in total annual distribution of 650 million. I'll point out that the midpoints of our guidance ranges for adjusted EBITDA and DCF demonstrate approximately 6% and 2% respective growth above 2019s performance. We're targeting a sustaining capital range of 90 million to 110 million and a growth capital range of 550 million to 650 million, reflecting an approximate 30% reduction in growth capital from 2019. At 400 million, two-thirds of our 2020 capital program is driven by our Sweeny fractionator option, not due until later in 2020. And with these results and our expected asset sales, we anticipate ending 2020 with the leverage ratio of approximately 4.0x. The bottom of the slide, you can see our commodity price targets that drive the midpoint of our guidance ranges. We set these targets in mid January based on the forward at that time, and we do understand that they are now higher than the cover price outlook. However, even if we were to mark the current prices, we would deliver a 1.1x distribution coverage ratio. Pricing is one variable among many that influences our results. We are not a knee jerk company, rather, we're confident in our proven ability to effectively manage through challenging environments and deliver on our commitments. I want to highlight that we delivered 2019 DCF above the midpoint of guidance despite realized commodity prices well below our target guidance. And on the right side of the slide, I'll highlight a few of the key assumptions for 2020. First, we anticipate being completely equity self-funded for the sixth year in a row and we expect to be fully self-funded in 2021 which Wouter will discuss in a minute. As I mentioned earlier in 2020, we plan to see a continued reduction in costs driven by efficiencies from improved reliability and continued innovation efforts to help mitigate sustained lower commodity prices. Additionally, we're expecting solid growth across our logistics assets both on the NGL and gas pipelines, partially offset by lower anticipated earnings on our Guadalupe asset as long-term well-priced contracts replaced spot sales. Finally, on the GMP side of the house, we expect overall volumes to be relatively flat with growth anticipated in the DJ and Delaware basins offset by declines in the Midcontinent partially due to asset divestitures. Slide 9 shows our current fee-based margin and hedge position. Our fee-based gross margin percentage for 2020 is now 70%, underpinned by our significant cash flow and we've been able to layer on opportunistic hedges in 2020 bringing our total fee and hedge percentage up to 79% the highest level we've been at this early in the year. With that, I'll turn it back over to Wouter.
Wouter van Kempen: Thank you, Sean. As we start a new decade, I will highlight how substantially this company has already evolved and where these guidance numbers are going to take us. In 2015, at the beginning of a deep downturn, we knew we had to radically transform our business if we were going to be sustainable in the long-term. Our team has achieved significant success in executing our strategy as illustrated by the impressive changes in our portfolio mix, growing fee based margin percentage and growth metrics. With our investments in assets like Sand and Southern Hills, Front Range and Texas Express including their subsequent expansions and extensions. Gulf Coast Express and several new facilities in the DJ basin, we have transitioned into a fully integrated midstream service provider. Compared to 2015, we have now inverted the ratio of our portfolio mix. In 2015, 60% of our adjusted EBITDA came from G&P and now in 2020, 60% of our adjusted EBITDA is expected to come from our logistics and marketing segment. By the end of this year, we expect to further reduce our commodity risk and balance our portfolio while driving a 21% increase in DCF and a 25% increase in adjusted EBITDA since 2017. In 2018, we heavily invested in our reliability and DCP 2.0 transformation to drive long-term outcomes resulting in lower based costs all while absorbing increases as our portfolio has continued to grow. By the end of 2020, our asset base will have increased by 7% or 1.2 billion from 2017, at the same time, we expect our costs to rise at less than half of that base while including an absorbing inflation. We've also right sized and high graded our portfolio by divesting non-core assets in places like Wyoming, Louisiana, the Northeast, the Barnett and the Midcontinent. Across our footprint, we continue to strategically drive vertical integration and saw for broad industry needs from the wellhead to the Gulf Coast markets resulting in an optimized portfolio, higher fee based earnings and increased volumes and cash flows. Looking back over this journey, we have a lot to celebrate as a team. Looking forward that we faced potential headwinds from commodity prices. We have the right strategy and the right team in place to continue our strong momentum and extent our track record of delivering strong results even in challenging times, which brings me to Slide 11. Here I'd like to provide additional clarity into our path to a fully sell funding model. Looking to our growth capital outlook 2020 represents the final traunch of an almost $3 billion multi-year organic billed cycle culminating in Sweeny fractionators later this year. We expect a 30% reduction in growth capital spent in 2020 as we bring the Cheyenne Connector, the Front Range and Texas Express at the expansions, Latham 2 offload and Sweeny fractionators online. Through continued targeted divestitures and excess cash flow, we expect to sell-fund over half our growth capital this year. Next year we anticipate base growth capital of up to 150 million and sustaining capital of up to 110 million. As we have recently shared our 2019 and 2020 growth projects are expected to produce approximately 270 million of annualized adjusted EBITDA of which 90% of this fee base. So take this growth, our DCP 2.0 innovation results and potential asset sales and we anticipate being completely self-funded, including all capital needs in 2021. As we look to how our capital allocation model will then evolve, we will move past a primary focus on organic growth and seek to reduce leverage, returning increased capital to unit holders and explore potential consolidation opportunities. In all, we have clear line of sight to a fully self-funded model in the short-term and sustained success in the long-term. So let me wrap it up on Slide 12. We knew that 2020 would be a challenging environment with a variety of macro influences, commodity prices have already proven this thesis. Our past and future success comes down to driving a strategy built around operational excellence and sustainability, our solid financial execution and advancing our DCP 2.0 transformation efforts. In 2019, in 2016 and in 2014, our team has demonstrated a remarkable ability to execute on cost control, cash preservation, capital efficiency, and a variety of other levers we can pull to meet our commitments. At DCP a promise made is a promise kept and we will continue to return secure and competitive distribution. We will continue to improve the results from our asset base and we will continue to deliver a solid financial outcomes in any commodity environment. We are a much stronger company entering this decade. We are excited to continue to drive our strategy forward to increase stakeholder value. And I'm looking forward to taking your questions. So Katherine please kick us off.
Operator: Thank you. [Operator Instructions] And our first question starts with Spiro Dounis with Credit Suisse. Your line is open.
Spiro Dounis: Sean, you mentioned the ability to last year exceed expectations despite commodity being a little bit weaker than expected. I guess if we take an admittedly very simplistic approach and mark the current market to the tape here, it does suggest the lower end of your 2020 EBITDA guidance. And so just hoping you could expand on that thought and maybe walk through some of the offsetting variables that maybe we're not appreciating some of that analysis.
Sean O'Brien: Yes. I think Spiro a couple of things. You look at '19 and we are highlighting that because at the same time in '19, when we would have given you guys the guidance, what ultimately ended up manifesting was a much lower commodity environment. And we exceeded and did very, very well. Some of the drivers in '19 are the same drivers you're going to see in 2020, Wouter alluded to a bunch of them, we are guiding costs to go down. We continue to focus and accelerate the 2.0 transformation as how we lowered costs in '19. It's how we're going to continue to lower cost in '20. Those levers can be --price is not the only mechanism that moves and the only variable that moves in our forecast. So we'll continue to focus and drive costs down. We'll get some questions, I'm sure later around maybe moving some of the so high volume or capital that is not in our base plan. So that's an ability to drive some capital numbers, be capital efficient, take those numbers down. I think what people might be missing a little bit in the models and it's pretty overwhelming as the amount of new cash flow that is coming on in 2020. Cheyenne Connector full year of Gulf Coast Express, the Latham offload, full year of OC 2; we expanded Sand Hills in '19; we're getting a full year of that, so high White Cliffs growth, the costs coming down, we see some growth in some key G&P areas like the DJ and the Permian. And then Front Range and Texas Express, you'll see some growth there. Those are monumental numbers. Think about that 270 million that Wouter talked about. So one thing I'm confident of is our ability to manage through the cycle. We're set up quite well. Even if you want to mark us to the low-end of the commodity, we're still at a one, one or better, but I can guarantee you, we're going to deliver above that. And we proved that in '19 from all those measures I just mentioned.
Wouter van Kempen: Yes. Spiro maybe to add a little bit to this. Unlike, yes. We're not surprised that people are saying "Hey, you know, commodities a bit different today than is what you guys put in your mid points," We agree completely with that. Let me at least give you a little bit of kind of insight and how the process works for us. And for a lot of companies probably works. You go to as management, you put a budget together and what we tend to do, is we tend to take a moment in time and that's where we think the mark and we take that forward and say, okay, this is going to be our commodity price deck and we're not going to go above that or below that and put kind of our vision through it. We just say, "Hey, what if the market failed us" and that's what we put in. We did that in early January. We go to our Board. We get our budget approved and our budget includes commodity prices for NGL, for gas and for crude. So that's what we did. Well, recently in the last three plus weeks or so, some pretty significant things happened at a macro economic environment including things that none of us saw coming like a Corona virus. With that said, set we are staring and looking at that tape the same way you do. We probably even more than you do and this team is not sitting still. There is a multitude of things that are happening within this company. Looking at, "Hey, what can we do it to be more efficient?: Are there certain things around the capital that we can maybe move up?; Are there things that we can do around sustaining capital that's maybe even smarter?" And that's kind of gives us another way to kind of reduce that and be more efficient around cost, around margin, around the variety of different things that we have. And we have a lot of tools that are available to us. And so yes, I appreciate your call and say, "Hey, we're sitting and maybe we should simplistically sit here and just marked you assuming that all else face the same." I can guarantee you and I think this team has proven in '14, '16 and '19 that if something goes the wrong way for us, we will find other ways and our job is to find other ways to continue to do things. Our job is not to swing our strategy with every price fluctuation that may be moving up or down. Our job is to effectively manage through it, deliver results and this team has shown year-on-year-on-year-on-year-on-year that that is what we're doing.
Sean O'Brien: And Spiro I got, I'd be remiss if I didn't add one last thing. And it's prevalent in our slides. The company has moved more and more to fee. We're 70% this year. We were 65% last year and we've been able to get some pretty good hedges on late last year, even a little bit early this year. So we're going in, you're saying how do you manage through this? We're 79% fee or hedged. That puts us in really good shape as we head into 2020.
Spiro Dounis: That's very helpful. Appreciate the feedback there. And then just on '21 CapEx looks like a material decline. Again, looks like you're going down to your sort of base level. And I guess I'm just wondering how set in stone is that figure. I know you guys retained some optionality on bringing Big Horn back at some point if the market warrants it, but is there anything else in the hopper there that could materially move '21 CapEx higher?
Wouter van Kempen: At this stage, I absolutely don't see that. I'm sure we have Big Horn that we could bring back. There's other projects. Here's the way I kind of looking at that Spiro and I think we've had these discussions number of times. There are some pretty significant overbuilt in a variety of places in this country, both in the logistics side of the equation as well as on the processing side of the house. That's why you've seen us kind of do offload agreements, utilizing someone else's capacity at very attractive rates. But without us having to do any major capital investments and Latham 2 is a great example of that. The offload stuff we're doing in the Delaware basin are good examples of that. So, we continue to kind of look at that. We don't want to own the last pipeline. We don't want to own the last processing plant. We'd like to be supply long and maybe a little bit asset short in an environment where there is excess capacity. With that said there's only things that you potentially could do. But the way I kind of look at that right now is, probably more intrigued to do things on the logistics side. Probably less in trade to do things on the processing side of the house unless it comes with some pretty good D&Ds and volume guarantees.
Operator: Thank you. Our next question comes from Shneur Gershuni with UBS. Your line is open.
Shneur Gershuni: Just maybe to follow up on Spiro's first question a little bit here. I don't want to beat a dead horse about this guide. But so it's clear from your response than in your prepared remarks that you understand that you've got an expectation that's kind of above where people are thinking of and so forth. In your response to Spiro, you had mentioned about the fact that, just stand still and sort of assume that's there, but when you presented your original plan to the Board, does it include a downside case on scenario an upside case on scenario on commodities and you're effectively -- you've got a plan B already to execute or the corona virus hit might change and you're now scrambling to come up with some offsets. You seem confident about those offsets. Any sense on putting a dollar number around what those offsets could be?
Sean O'Brien: Let me start Shneur talk about long-term management of the board. But clearly, we bring in a case for approval, we have to gain some insight into that process. But we -- there are many slides always, it's a prudent thing around what could go wrong headwinds, what could move the needle. And to be honest, once in a while you even get to talk about some things that could go our way. Right? So we have upsides, downsides, we have mitigating actions ready to go. One thing and Wouter alluded to it that this company has gotten very, very, very good at, is a proactive mentality around managing, whether it's '14, '15, '16, '19 or now '20. So, we're well-equipped. I think we set the company up really well in 2020. All those projects I've rattled off earlier Shneur are very solid projects. Those cash flows are coming online as expected. And there's things we can do. We were lucky enough to have a pretty good playbook at the end of the day. But with the board, we definitely show the Board some things that could go wrong. What would we do if they went wrong? What could we accelerate and so forth? So absolutely, I don't know, if Wouter wants to add some things.
Wouter van Kempen: No. I think that's the right way of saying it. We spent a lot of time looking at upsides and downsides. We don't run this company, "Hey, the world is going to be stable." We haven't seen stability I think in the oil and gas sector for many, many years. So I think we're very used to saying, "Hey, some stuff is going to potentially hit us in the face and what are we going to do about it and what are the variety of different things that we can do." As Sean mentioned, I think there is a pretty good proven track record around this company from making sure that we execute the playbook. We did not have to reduce our distribution like many, many others in our industry and the vast majority in the industry because they all got caught by surprise. I think there's a lot of things that we're going to do good around this. I also would like, I spoke a little bit about governance and how we set our budget and went to Board, tied to their governance is how people in this company are incentivized. So the numbers that we're showing you here today there's a lot of reasons for every person in this company to try to find a way to make those numbers because that is how they are being incentivized.
Shneur Gershuni: So in some of your mitigating options, I mean, are we talking about something that can sort of be a partial offset of like $10 million, $20 million? Are we talking something that could be $50 million?
Sean O'Brien: It's definitely more than $10 million to $20 million, Shneur. And if you think about what we looked at in '19, Wouter alluded, '19 from when we gave you the guidance in early '19 to where we ended up price commodity didn't hang in. It was a $100 million plus of negative. And those things that we weren't able to execute on more than offset that. So we're not living the world of $10 million to $20 million. Divestitures are very large numbers. You saw 210 last year cost down $22 million, a lot of margin improvement tied to DCP 2.0. In the aggregate, these numbers are large and obviously we're focused on those every day. So, we're not pulling levers that are just going to add $5 million or $10 million. And we've proven we can do that.
Shneur Gershuni: All right. Maybe as a quick follow-up question here. To focus on some of the go ahead. You have a slide out talking about how your fee-based position has changed, kind of where you're at right now. I was wondering if we can sort of talk about kind of on a go forward basis, when I sort of think about '21 and beyond, you've got the Sweeny frac coming on online late this year. Is there a way to cross the 75% threshold opportunities to increase percentage? So maybe by contract negotiations or their economic outs on acreage dedication that you can use to sort of reset is your asset sale program, selling fee-based assets. Are you trying to focus on selling body-based assets? Are we just talking about Michigan assets? Just kind of wondering though what levers we have that pulled that game continue to make progress on moving forward a fee based and away from money sensitivity.
Sean O'Brien: Yes. I think you mentioned, your list is very comprehensive. You mentioned all of them and those are the drivers that we utilized significantly. I mean you look at -- Wouter, I thought very eloquently stated that we used to be 60% G&P and that's totally transformed obviously in -- and now we're 60% G&P or logistics. Going forward all those things, the majority of our growth is going to be fee-based that comes online. You mentioned Sweeny, but don't forget you're getting a full year of Gulf Coast. You're getting Cheyenne, you're getting growth in Front Range, Texas Express Sand Hills, Southern Hills, things of that nature. Some of the growth in the DJ, we have fee like components in terms of minimum. So that stuff has not fully come into fruition into our numbers. What you're seeing is a snapshot of 2020 that will continue to grow. Most of the -- I think what you were alluding to most of the divestitures that you've seen as do tends to pull away more commodity sensitive type assets. And again, we're replacing them with more fee based assets. So if we were to give you guidance, we don't, for 2021 and beyond around that fee number. I think you're thinking about it the right way. Substantial growth there continuing to right size the company. It's interesting, '19 was a pretty significant volatile year round commodity and we produced some pretty stable results throughout that even with the portfolio that we have today. But all those levers are how we're going to grow that fee.
Wouter van Kempen: And Shneur maybe to just -- one really short thing to add of that. I appreciate you kind of highlighting some of the good because there has been tremendous amount of good things that I think the teams and the employees here at DCP have done. That's our job. Trying to figure out what the good is, while we mitigate the bad. And I think this team also has shown that we can mitigate the bad and turn them into good guys. And I think 2019 shows them.
Shneur Gershuni: I appreciate that. One last thing for you, Sean, you went through my entire list except for one it was contract renegotiation. Is that an option that you can look at as well also?
Sean O'Brien: That is absolutely an option. It's limited to certain areas. If you really think about where the company's moved Shneur, a lot of the -- we did a lot of that back in '15, '16. There are still some areas; areas like the Midcontinent were focused on doing that. Maybe the Eagle Ford went predominantly feed portions of the Permian. So it is by the way an area, it's the impacts not going to be as big as you saw in '15, '16, but it is one of our goals in 2020 is to continue to take commodity out of the contracts through renegotiations with our customers.
Operator: Thank you. And our next question comes from Michael Blum with Wells Fargo. Your line is open.
Michael Blum: I just had a couple of quick questions. One on asset sales. So, first I guess it's multi-part. I'm wondering, if you can give us a sense for how we should think about just overall blended all the stuff you did in 2019, like a blended multiple that you sold that? And then on the 100 to 300, you're looking at for 2020. Just a sense, obviously not going to tell us what assets they are, but just general idea. Are you pruning the G&P side of the business. I mean, how should we think about what you're doing there? And same question on multiples.
Wouter van Kempen: I can't give you exact kind of multiples, but for 2019 realized I think what you should look at is that we find a way to do this thing either at a non-dilutive or an accretive way because clearly we found a way to sell $210 million of assets in 2019 and still beat our DCF. So we've absorbed some of that and do that. But I think overall we'd tend to go after assets that don't have an very good earnings profile for us. So the multiples tend to be a little bit higher and it tend to kind of work in our favor. So I think in general, that's kind of what I would like to say about that. For 2020 what are we looking at in at 300? I think you can fairly assume that is G&P as much that is where we tend to have pieces in the portfolio that we like leased. But, with that said, they are very, very limited assets. But, if you look at what we've done over the last 5, 6 years or so. It tends to be small assets don't that -- in many cases are older, have a cost profile that is higher for us and where we don't have a significant volumes running through. So that's why you should see it. Logistics assets absolutely do not see us go out and sell any of the logistics assets. We liked those a lot. They have very, very high utilization. They tend to give us stability as well. So I would say focus more on the GMP side of the house.
Michael Blum: Okay, great. And then second question is just, so you referenced or you show here in the slide on Slide 6 that you took $22 million of cost out of the business in 2019 and you said it would be a similar amount and we should think about roughly similar amount in 2020. Is that an absolute dollar figure or is that, should we think about it as like a percentage of your total O&M or I just want to make sure I'm understanding that right.
Sean O'Brien: But the 22 in an absolute decline from '18 to '19. In terms of the similar trend, I would look at it as a percentage. We are, you know, we're targeting pretty meaningful percentages. And I think the impressive thing is that, you know, unfortunately costs are not a one way street. You know, every year you have inflation, you're paying raises, you're adding some assets. And we continue, one of the big things that company has done, Mike, over the last few years is we are investing in transformation and 2.0 quite a bit. So the ability to, to do all of that and, and take an absolute reduction is pretty impressive. And I think some of that also is exponential. The more we get into the 2.0, the more benefits, the more costs will go down. So as you think about 2020, it's a similar percentage that we'll be able to reduce. Or at least targeting to reduce 2020 cost and the important thing is directionally go down again from 2019.
Operator: Our next question comes from Jeremy Tonet with JPMorgan. Your line is open.
Jeremy Tonet: Hi, just wanted to ask in terms of the 2020 guide how should we think about, I guess, volume sensitivity across the low and high end of your guidance? Particularly with Sand Hills and Southern Hills as other pipes come online and I, it is your decision to kind of not proceed with the Southern Hills expansion at this time backed into that at all.
Sean O'Brien: I can give you a little column color James on the volumes. Maybe I'll let Wouter talk about the strategic decision on a Southern Hills. In terms of volumes, Sand Hills, we are expecting to see growth. I mean we, we added some capacity in 2019. The only thing that took away some of those volumes and it's an economic decision on the pipelines was we increased and I mentioned this, we increased the rejection side of the equation as we went through '19, but that's an economic decision. We feel very good about the Sand Hills volumes, very good about Southern Hills. I'll let Wouter talk about the strategy there. And then if you think about the regions. I think we've had a relatively conservative volume outlook. It's relatively flat for the company in 2020. There are some pockets of growth. Obviously the DJ would be one of those. We continue to set records in the DJ through 2019. Q4 was very strong. Another really positive outlook is the Delaware, the Southeast New Mexico area of the Permian. We saw really good exit rates and we're seeing pretty good volumes and in 2020 already as we start the year. So, Eagle Ford's hanging in there, I think we would guide you to relatively flat. And then, of course, the Midcontinent I've talked about a couple of times is an area we'll continue to see decline. But I will let Wouter maybe talk about Southern Hills and the decision there.
Wouter van Kempen: Yes, James. On Southern Hills, we continue to like to project a lot, but you got to look at this all about capital efficiency, not overbuilding us not want to own the last five to last processing blend and the same theme that we've been talking to, to all of you a lot about in the last year or so. So if you think about when we started talking about this Southern Hills expansion, it was really kind of somewhere in the third quarter or so of last year. Subsequently, you saw us announce the Latham 2 offload, I'm not moving forward with the Big Horn facility. If you think about how we look at kind of overall kind of takeaway capacity out of the DJ basin. Originally, we were looking at things like, "Hey, Big Horn was going to go out there, Latham 2 was going to go out there, between the two of them, you maybe have 50,000 barrels, now one of those are not going to get billed. So, you are basically generating 20,000 or 30,0000 barrels of space, of takeaway capacity, out of the DJ basin. Then you'd take a look at ethane rejection environment and we've got to look at things and say, I think rejection is going to probably continue to be here for quite some time given where we are from a commodity point of view. So thank all of that together. And you say between the Front Range and the effects are expressed with some extension or a expansion between the Southern Hills expansion in the DJ. We don't need it right here, right now. So why build it? Why don't we put it in backlog? We waited a little bit, maybe we waited a year and then we build it and we take it from there. This is absolutely nothing to do with our volume outlook on what we expect to think to come out of the DJ basin. That's still looks very, very good to us. It really is about, certain plants are not being built that creates capacity in the system. Ethane rejection creates capacity in the system. Then if that's the case, why go out? Why spend that money now let's be capital efficient. Yes, that makes sense. And then you touched upon it, but just the ethane rejections in the $0.048 price assumption you guys have, is there a factor of level? Is there a factor level, is there factor about the reduction in there?
Sean O'Brien: Yes. Even at the level, even in our assumptions, James assume, we exited the year with the highest level we were at in 2019 and we've got in our models, as we look at 2020, we have -- we're staying at those levels. So we're at pretty high levels of rejection to Wouter's comments that is even baked into our target prices.
Operator: Our next question comes from Elvira Scotto with RBC Capital. Your line is open.
Elvira Scotto: Wanting to follow up on the assets sales. For 2020, I guess, have you already identified the assets? Where are you in the process of selling and does any of the guidance that you provided incorporate asset sales?
Wouter van Kempen: So asset sales are not incorporated. We think that asset sales you never know if you can pull them off. So that's why we don't put them in the base forecast, it's upside only the same way for 2019 upside only. That's kind of our philosophy because you never know if you're going to have buyers and sellers meet at the right price. Or if its defined absolutely, are we working things absolutely.
Elvira Scotto: Okay. Yes, that makes sense. And then on your sustaining CapEx, I guess you did 83 million in 2019 versus your original guidance I think was 90 to 110 million. In 2020, you're providing that same guidance of 90 to 110 million. Can you just walk through that sustaining CapEx number, why that hasn't changed versus your 2019 guidance?
Steve O'Brien: So I think a couple of things. We have added some assets, albeit they are newer and they're more -- the pipeline type assets which tend to have a little bit lower on the maintenance front. But, Elvira we have some seasonality. There are some core components to that maintenance through that sustainability capital that's tied to regulatory that's tied to some safety projects. So I think we have a little more slated in 2020 than what we had in 2019. One of the reasons we were able to bring that number down significantly in '19, is some of the assets, apples we are getting better. Wrap batter talks about a lot of this new technology that we're utilizing on our assets. That gives us the ability to be much more intelligent about what, where are we spending money, where are we putting the money, can we get ahead of catastrophic failures that saves us a significant amount of money. But the guidance ranges would have gone up a little bit. I think primarily due to some investments and some things that we have slated in 2020 is just our traditional EH&S type program.
Elvira Scotto: Okay, thanks. And then just the -- I guess a bigger picture question. When you talk about capital allocation, you list organic growth, reduced leverage, return capital to unit holders, and then potential consolidation. Can you expand on that a little bit? Especially around potential consolidation? Is that asset acquisitions or DCP acquiring a business or a company or DCP selling itself?
Wouter van Kempen: Wow, that's a lot there, Elvira. Let me take one thing kind of off the table. You're not going to wake up One day and see DCP is acquiring someone else for a big multiple. I guarantee you that that is not what is going to happen. But what we're doing, and we've spoken a lot about what we're doing around our transformation, is waiting this company and creating this kind of lean manufacturing model being the safest, mostly reliable low cost midstream service provider. Because this industry, unlike other industries has always lift on," Hey, what is my next growth project?" Well, my next growth project and we know that that's super cycle of growth is coming to an end. We saw that coming internally, we've been talking about that since 2017 since 2018 that's why we started this digital transformation. That's why we're trying to make this company a lean manufacturing model. In the end, what you can do with that is you hope that you're more efficient on other people and you can put densely fold assets in there and that's what we're talking about. So we're talking about "Hey, can you apply what we have" and change that and unfold other companies or assets within that model and be more efficient and get synergies that way. Do not expect, again, I want to make sure that you not do not expect to wake up and see DCP midstream is buying one of their neighbors at a 30% premium. I can guarantee you is that is not what you will see.
Operator: Our next question comes from Chris Sighinolfi with Jefferies. Your line is open.
Chris Sighinolfi: Sean, I'm just curious if you could help me understand Slide 14 a little bit better. You made a change in how you're portraying some of the hedge positions. Most of them I'm focused on just the use of the phrase targeted average hedge price for the NGL front? And I'm just, I guess I'm wondering two things, how do we interpret if prices are different than your target, and does that change any of the sensitivities you provided in the financial guidance? Just any of them.
Sean O'Brien: And kudos, Chris, for picking up on that change. But where we have hedges, we're trying to show you the prices where we have substantial hedges in place. What gets a little complicated is, with crude and with gas it tends to be very straightforward. Obviously on the barrel for NGL, we're not -- either opportunity sometimes to hedge the heavier end because it correlates with crude a little better. Maybe there's a run in propane, we can go out and get those. So and we don't have a significant amount of those hedges out in place. So we're just trying to show you our target versus showing you the composite, where one particular price would be --- we don't think that's that helpful. You need to really look at the total composite barrel and where are our targets are. So that's why we have that change on there. If we get the opportunity to get some additional NGL hedges on, we could maybe modify it a little bit, but we didn't want to be misleading by just showing one element or one component of the NGL barrel. It would have no change on the sensitivities, I don't believe.
Chris Sighinolfi: Okay. And so the volumes you lift there, are those actual hedge positions you hold today or does that include some target hedges for products…?
Sean O'Brien: No, no, those are actual, and again, we saw some run up on a couple -- a few of the components of the NGO barrel, we were able to go out and get some hedges on either late last year, but we're trying to give you a good proxy of where and if we continue to hedge where we would be on a total NGL composite perspective.
Chris Sighinolfi: Okay. If I switch gears a little bit and think about it, I guess in context of commodity, you had an earlier discussion with Spiro and Shneur about -- it seemed like levers that were available to you that you could pull that would be supportive to your financial performance in a low price environment. And I guess, I'm wondering if I understood that correctly and why those would be levers you wouldn't always be pulling or why they're only available on a low price environment. And then, I guess maybe flip the opposite like Sean, like what gets you to 13.45 in EBITDA for the year, what needs to happen from here to achieve that level?
Sean O'Brien: So the top-end of the range clearly always has some price elements, right? I mean, so that's only one component. But again, if you think about the levers that we're pulling, we're always working on improving the business. We're focused on costs. You look at the core guidance, Chris, there is cost reductions. In terms of -- can you go harder at things, can you move quicker? When we look at '19, and we keep reiterating this. We saw some pretty dampen prices in '19, and we didn't hit the low end of our guidance. We were able to hit above the DCF guidance and pretty close to the EBITDA. There was always yin and yang. I mean, just be -- one variable can go down, some times there's positive outputs or outcomes from a commodity going down, some times there's things that we're going to drive a little bit faster, give us the opportunity to move some things in a little bit quicker, get some projects online a little bit quicker. These are all the same levers that we pulled that accelerated our base case in '19. And as Wouter said, we did not become aware that prices in the current environment were below our mid point when all the reports came out yesterday. We were watching that pretty closely. We're aware of it. Assume we're working on other levers or accelerating things that we were working on anyway to help us mitigate through this environment.
Wouter van Kempen: Chris, I think your question is around, are you guys shipping still when prices are good and then now you feel that you need to run hard? I think before this call, I looked at gas prices and crude prices. They were up 3.5%. So, are people taking their foot off the accelerator today? No, absolutely not. But unlike this happens every day, we see these big swings, and unlike, this has been a big commodity swing industry for quite some time now. And our job is to continue to execute our strategy and keep focusing on executing the strategy and not go what every price fluctuation up or down and kind of start changing the phase. At the same time we've seen some pretty significant movements here. You see some pretty significant macro economic things happening kind of starting, around middle or end of January. And that obviously gives you kind of some heightened scrutiny around, what does that change at a macro economic level from a supply demand point of view? Things like a Corona virus and therefore, other levers that we can pull or it should be pulled harder on certain levers.
Chris Sighinolfi: Okay. No, that's helpful. I mean I appreciate it. I think we all last year were sort of reintroduced to the Guadalupe pipeline that you guys have and the contribution there was obviously quite spectacular relative to I think what was built into your basement. So I appreciate it. I think others appreciate that there are elements of your asset profile that do provide sort of internal edging on either basis or price. But I guess thinking that that was more of a hedged out scenario going forward that maybe you'd have less flexibility now. So, that was really out in the spirit of the question.
Wouter van Kempen: Yes. Here's the way I look at it, Chris. I don't underestimate the creativity, the flexibility, the tenacity of our team to find, what's the next Guadalupe? What is the next thing that we have that we didn't think about or death kind of went our way because many times when stuff things go against you, there's something else in your broad-based portfolio did actually may go create a little bit of tailwind. So, our job is to kind of $5 to work those on to work really hard. And as I said earlier 2200 plus teammates at DCP are highly incentive to get through the numbers that we showed you today.
Chris Sighinolfi: Okay. I do have one final question, if I could. And that's just, I look at Slide 19 and I look at the capacity that you list in the G&P regions. It looks like processing capacity in the Midcon came down about 210 million cubic feet a day, a quarter-on-quarter. And I'm just curious, the footnote indicates you list only active plant capacity. So I guess I'm curious about, or was that a plant idling? Was that part of the asset sales you've already done? Is that part of the potential slate that you're contemplating?
Wouter van Kempen: I'll have Sarah get back to you with the exact details, but my assumption would be between Rock Creek, between the Ladder Creek, between another plant that we shut down there the Carnie system divestiture, I would say that is most likely what is driving it. But Sarah we will confirm it for you.
Operator: Our next question comes from Gabe Moreen with Mizuho. Your line is open.
Gabe Moreen: Most of my questions have been asked and answered. I just wanted to ask about pref issuance potentially for this year and how you're thinking about it? To a large extent, is that dependent on how well the asset sales may or may not go?
Sean O'Brien: It's not totally depending on the asset sales, Gabe, but we do look at the pref market. It started pretty strong at the beginning of this year. So we've seen some positive transactions. It is a lever, it is one of the levers we will stay focused on.
Gabe Moreen: Okay. And then, just one quick follow-up for me. In terms of a follow-up to I think my first question on M&A, I think Wouter you said that it is heavily going to be concentrated on G&P. Clearly, there was an asset that you own part of which changes hands in December for what looks like a really nice multiple. Did you contemplate maybe piggybacking on that and if you got some sort of similar multiples like mid-teens EBITDA, would you ever part with L&M assets? Yes. That's my question.
Wouter van Kempen: I think one thing that's really interesting and I don't know who yesterday wrote this that there is a bit of a discrepancy and if you look at how we're trading. And while you sit there and say the implied valuation. If you give a market valuation to L&M on our portfolio and then what would the implied valuation be given where we're trading at and our valuation as G&P would be trading really, really low in comparison to other people and one way to maybe crystallize that is to sell an L&M asset. We like the L&M business and we've worked really hard, we showed you how we've moved that part of the portfolio. Sure, you can piggyback in trying to sell something and is that going to crystallize the value of the overall logistics business. I probably don't think so. The other thing what it does, it really is going to make you more G&P centric once again and I don't think that's what we want. So yes, we looked at that, we think about that, but probably not likely.
Operator: Our next question comes from James Carreker with U.S. Capital Advisors. Your line is open.
James Carreker: Just a couple of housekeeping items. I think you guys have a $600 million debt slug due next month. Any color on how you're looking at that?
Sean O'Brien: Good news is James, we don't have any towers throughout the period. We do have that maturity coming due in Q1 of this year. Markets are good. Our debt is trading well. So things are looking pretty good on that.
James Carreker: So your expectation is to do an offering or cover with the revolver?
Sean O'Brien: Yes, we've got a lot of options on the revolver and ultimately covering with an offering, sure.
James Carreker: And then you guys mentioned Guadalupe earnings are down as some of these contracted rates start kicking in? Do you guys have a duration for what the average contract is on Guadalupe and I guess I'll just leave it there.
Sean O'Brien: Yes. So the good news is these contracts tend to be five years and then those options were not available, historically. They're not at the spike rates but they are at very, very strong rates. So we've turned that asset into a very strong annuity -- a fee-based annuity that will be with us for five years. I think that was a terrific play.
James Carreker: No, I appreciate that color. And then I guess one last item. You mentioned Sean earlier I believe even at the low end of your guidance would provide for 1.1x coverage, but obviously that does hit more so I guess some of your leverage metrics and whether you use your bank metric or an all-inclusive debt to EBITDA or some metric that includes the press. It does creep up a bit. So just wondering how you're kind of thinking about that. Do you pay attention to the other metrics or is it just kind of this bank revolver calculation because it certainly seems like you want to bring it down, but there are certainly some headwinds facing the business?
Sean O'Brien: Yes, so a couple of things. Yes, we are focused on the bank. Bank is very important, but every slide I have, James, has all the three rating agencies on it as well. So I'm staring at all of them and one thing I want to remind you, the 1.1, that just says, hey, we take the current spot, the company does nothing to mitigate that, that is not going to happen. We're very focused on our levers. We're focused on our coverage. As Wouter said, the distribution is safe and we're all incentivized as he mentioned to drive and deliver these results, which are pretty strong. So I do stare at the other metrics. Assume we're going to mitigate a bunch of that.
James Carreker: Yes, I only ask because I think consensus from investors is that coverage is becoming less and less of a focus whereas leverage and free cash flow generation are the next new thing and so to the extent that those are metrics that you guys follow…
Wouter van Kempen: And James, obviously, we do, I'm like, and that's why we gave you guys some outlook and say, hey, where are you going in 2021 and this company has been significantly free cash flow positive in kind of a traditional way of talking about it. The way we look at free cash flow positive is after paying the distributions and we see that we're completely fully self-funded, pay the distribution, pay our sustaining capital, pay our growth capital in 2021 and I think that is a great, great outcome.
Operator: And our next question comes from Tristan Richardson with SunTrust. Your line is open.
Tristan Richardson: Appreciate all the commentary and perspective. Just on Sand Hills, your comments around growth, appreciate that. Just thinking about the contract portfolio. We think if maybe some of the movements in '19 is somewhat one-off, but particularly with new contracts associated with expansion, can you talk about average tenure today and if there's any upcoming recontracting or short-term deals that may come up in the near term?
Wouter van Kempen: Yes, no, Tristan, it's Wouter, appreciate that. Our and I think we've been fairly open about is the largest contract that we have on Sand Hills is with ourselves DCP. We have some pretty good insight in that. The second largest contract is going until the mid-2030s. That's a very, very significant contract and then we have a slew of contracts that go until the middle of this decade. So other short-term deals that we do at say at times, everybody is doing those, but we do not see any recontracting risk kind of average duration of our portfolio is quite lengthy, deep until this is coming decade.
Tristan Richardson: Very helpful and then just a quick follow-up, you guys talk about in your slides sort of assumptions for 2020 potential benefits of any shift to ethane recovery. Is that a potential driver in 2020 towards the high-end of the guide or just kind of framing that up?
Wouter van Kempen: Yes, so what Sean I think mentioned earlier is that we do not have any kind of benefits from additional ethane recovery into our current guidance that we have. So that is truly as an upside.
Operator: Thank you. And I'm showing no other questions in the queue. I'd like to turn the call back to Sarah Sandberg for any closing remarks.
Sarah Sandberg: Thanks, Katherine and thank you to everyone for joining us today. If you have any questions, please don't hesitate to reach out.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.